Operator: Welcome to Vector Group Ltd's First Quarter 2022 Earnings Conference Call. During this call the terms adjusted operating income, adjusted net income, adjusted EBITDA and tobacco adjusted operating income, will be used. These terms are non-GAAP financial measures and should be considered in addition to, but not as substitute for other measures of financial performance. In accordance with GAAP, reconciliations to adjusted operating income, adjusted net income, adjusted EBITDA, from continuing operations and tobacco adjusted operating income are contained in the company's earnings release which has been posted to the Investor Relations section of the company's website located at www.vectorgroupltd.com.Before the call begins. I'd like to read a safe harbor statement. The statements made during this conference call that are not historical facts are forward-looking statements, that are subject to risks and uncertainties that could cause actual results to differ materially from those set forth in or implied by forward-looking statements. These risks are described in more detail in the company's Securities and Exchange Commission filings. Now, I'd like to turn the call over to the President and Chief Executive Officer of Vector Group, Howard Lorber.
Howard Lorber: Good morning, and thank you for joining us on our first quarter 2022 earnings conference call. With me today are Richard Lampen, our Chief Operating Officer, Bryant Kirkland, our Chief Financial Officer; and Nick Anson, President and Chief Operating Officer of Liggett Vector Brands. Ron Bernstein, Senior Advisor to Liggett Vector Brands will also join us during the Q&A. During this call, I will review Vector Group's consolidated financial results for the first quarter of 2022. Nick will then summarize the performance of our tobacco business. I will then provide closing comments and open the call for questions. Before reviewing Vector Group's consolidated financial results, please note that because of the Spin-Off of Douglas Elliman in the fourth quarter of 2021. Douglas Elliman's financial results have been presented as discontinued operations in Vector Group's consolidated financial statements and have been excluded from our adjusted results. Now turning to Vector Group's consolidated balance sheet, our balance sheet is strong as in March 31st 2022, we maintained significant liquidity with cash and cash equivalents of approximately $238 million, including cash of $46 million at Liggett. We also held investment securities and investment partnership interests with a fair market value of approximately $183 million. Turning to Vector Group's consolidated results, from operations for the three months ended March 31st 2022, Vector Group's revenues for the quarter were $312 million compared to $271 million in the 2021 period. The increase in revenues was primarily driven by volume growth at Liggett resulting from the expansion of its Montego brand, as well as increased pricing on its Eagle 20's and Pyramid brands. Net income attributed to Vector Group was $32.5 million or $0.21 per diluted common share compared to $32 million or $0.20 per diluted common share in the first quarter of 2021. Net income from continuing operations attributed to Vector Group was $32.5 million or $0.21 per diluted common share compared to $21.6 million or $0.14 per diluted common share in the first quarter of 2021. The company recorded adjusted EBITDA from continuing operations of $77.1 million compared to $78 million in the first quarter of 2021. Adjusted net income from continuing operations was $26.6 million or $0.17 per diluted share compared to $34.9 million or $0.22 per diluted share in the 2021 period. I will now turn it over to Nick to discuss our tobacco operations. Nick?
Nick Anson: Thank you, Howard. And good morning everyone. Liggett continued its strong performance during the first quarter of 2022, as we took advantage of favorable market opportunities to substantially increase volume and market share. During our full-year 2021 earnings call, we noted the significant growth opportunities developing in the U.S. discount cigarette market, including a consumer shift towards value brands and KT&G is departure from the U.S. market in December of 2021. I'm pleased to report that we are successfully capitalizing on both opportunities, highlighted by the fact that Liggett's retail market share increased to 5.2% in the first quarter of 2022, up from 4.2% in the first quarter of last year, driven by the growth of our Montego brand. Our strategy with Montego is consistent with our long-term objective of optimizing profit through the effective management of volume pricing and market share growth. A key to our long-term success, is that we take an opportunistic approach to the marketplace and recognize the need to invest and capitalize on volume growth opportunities. Similar to our successful expansions of Pyramid beginning in 2009 and Eagle 20's in 2013 Montego's significant volume and market share growth has required targeted investment, which led to a small decline in year-over-year income in the first quarter of 2022. We have a proven track record of successful brand expansions. This is demonstrated by our $35 million investment in Pyramid over a decade ago, a brand which now has delivered more than  $1 billion in cumulative gross profit margin and our investment in Eagle '20s in 2017 and 2018 served as the foundation for Liggett significant increase in tobacco operating income from $247 million in 2018 to $360 million in 2021. We expect to realize a significant return on our investment in Montego and decisions on when we will transition to an income growth strategy for the brand will be carefully considered based on market factors. Inflation, continue to rise during the first quarter, leading to increased financial pressure on many cigarette smokers. As a result, we saw a continuing shift to the discount segment as consumers seek value with the cigarette purchases. Based on Management Science Associates retail data for the three months ended March 31st 2022, the discount category represented 27.1% of the total market compared to 26.3% for the same period last year. Within the discount category we continue to see momentum and growth for brands priced at the low end of the value chain. For the first quarter of 2022, we estimate that the deep discount segment comprised approximately 37% of the total discount category, compared to 33% in the same period a year ago. We expect this migration to continue as the deep discount segment remains a more attractive value proposition for consumers. As such, we are confident that our value focused brand portfolio and broad national distribution positions us well to meet shifting market demands. To the market share of 2.8% KT&G's exit from the U.S. presented a significant opportunity. Our timely expansion of Montego in 2021 along with strong execution from our sales organization and showed that we were well positioned to capitalize on KT&G's exit. Montego distribution expanded to over 63,000 stores in the first quarter of 2022 compared to approximately 26,000 stores in the first quarter of 2021, while the brand market share increased to 1.9% compared to 0.4% in the corresponding period in 2021. We estimate Montego as retail share of the deep discount segment in the first quarter was approximately 19% compared to 4.5% in the same period in 2021. The Montego our go-to-market strategy with a value focused portfolio remains successful, Eagle 20's is delivering significantly higher margins and Pyramid continues to provide both substantial profit and market presence to the company. I'm also pleased to report for the most recent 13-week period Eagle 20's and Montego are now the third and fourth largest discount brands respectively, in the U.S. market. Overall, Liggett's retail shipments for the three months ended March 31st 2022, increased 14.6% from the year ago period, while the industry retail shipments decreased 7.8% during the same period. As a result, and as mentioned earlier Liggett's first quarter retail share increased to 5.2% from 4.2% in the corresponding period a year ago. I will now turn to the combined tobacco financials for Liggett Group and back to Tobacco. For the three months ended March 31st 2022 revenues increased 15.1% to $309 million compared to $268.5 million for the corresponding 2021 period. Tobacco operating income for the three months ended March 31st 2022 was $77.6 million compared to $81.6 million for the corresponding period in 2021. Tobacco adjusted operating income for the three months ended March 31st 2022 was $75.6 million compared to $78.9 million for the corresponding period a year ago. Liggett's first quarter earnings decrease was primarily the result of lower gross profit margins associated with a significant increase in Montego volumes. While our business has not been immune from the effects of increased inflation our operational cost base remains stable. As a reminder, with respect to our MSA cost, the impact of inflation is mitigated since approximately 40% of our current volumes are exempt from payment due to our perpetual MSA grandfathered the market share. Regarding the current regulatory environment, as expected, the FDA recently issued its preliminary ruling prohibiting the use of menthol as a characterizing flavor in cigarettes importantly for the 12-months ended March 31st 2022 menthol cigarettes only represented approximately 19% of Liggett total retail sales volume compared to about 35% for the total industry. As we have previously noted, this issue has been considered by the FDA since 2009 and by statute the agencies required to apply a scientific approach to their ruling in any question involving public health. The FDA is also required to evaluate potential unintended consequences of any decision, there are many open issues and conflicting scientific data regarding menthol in cigarettes and we believe it will likely take years before this complex issue with results. In addition, several tobacco companies with a presence in the e-cigarette and vape of business have recently received marketing denial orders from the FDA for the next generation products. While we continue to closely monitor this segment of the market, we remain firm and I believe that there is significant risk surrounding consumer acceptance of these products. These recent FDA decisions also highlight the regulatory risk and cost associated with this segment of the market and as such, we remain focused on our core competencies in the growing discount segment of the conventional cigarette market. In summary, the operational and financial performance of our tobacco business remains strong. Our first quarter results validate our strategy and reflects the competitive strength we have in the discount segment including our broad base of distribution, consumer focused programs and the scope and capabilities of our sales force. Finally, while we are always subject to industry regulatory and general market risks, we are confident that we have the effective programs and infrastructure in place to keep our business operating efficiency while delivering market share and long-term profit growth from our value based brand portfolio. Thanks to your attention and back to you, Howard.
Howard Lorber: Thank you, Nick. Vector Group had another outstanding first quarter. We have strong cash reserves and have consistently increased our tobacco market share and profits over the long term. We are pleased with our long-standing practice of paying a quarterly cash dividend. It remains an important component of our capital allocation strategy and is our expectation that our policy will continue. Now, operator, please open the call for questions
Operator:
Q - Karru Martinson: When you look at the market and the trade down as the consumer stressed with inflation, are you seeing the larger players also trying to compete for that customer and moving into the discount channel or is that part of the market fairly static?
Howard Lorber: Nick, will you go?
Nick Anson: Sure. I mean with the larger players certainly have a presence in the discount market but the activity that we're really seeing is in the low end of the market in price discounts anywhere from 50% to 40% from the premium players. That's why we're seeing the most activity and the down trading and those bigger players don't have a presence in the market. But that's why we're all presence is and that's where our Montego brand is, and that's -- because that's why we're seeing the vast majority of the down-trading and the activity in the marketplace.
Ron Bernstein: Okay. Thank you for that. If I can add, this is Ron. An important point there is that if you look at the as the structure of their income statements and balance sheets, they can't really afford to come down, people into the marketplace into the low-end market. They have any that any impact they have by bringing down their own brands is going to take more volume away from Marlboro and Newport in the other premium brands. So, their strategy seems to have been for many years now. Just to keep raising prices in order to maintain their profit base.
Karru Martinson: Okay. And then when we look at the menthol ban that was announced and certainly understanding this will take many years to before it's fully implemented, what are the next steps and kind of, what are the goalposts that investors should be looking out for in terms of this process moving forward?
Howard Lorber: Sure. [indiscernible] the, the immediate next steps are is now that there is a 60 day comment period following the proposed standard after those 60 days, which may well be extended the FDA's is obligated to address all of those comments. So, I think the general consensus of opinion that any-- final ruling is at least a year away and then as a reminder, there is likely another year before any things implemented at retail and that's before any potential litigation from the tobacco industry.
Karru Martinson: Okay. And then can you update us on if there is any update in terms of the Colorado minimum price laws and what you're seeing in terms of your sales volumes for that market?
Howard Lorber: Sure, I know, I could comment on that. I think we were in court in couple of weeks ago, to argue against the law and I think we've a reasonable case. The question is going to be how long is it going to take until it happens and what will we the end result be. But it's clear to our lawyers that it's illegal, what was done. So, we think we'll be a winner then. We haven't lost as much as we thought we would. We've got some volume, but we are still profitable. Well, Nick, you want to comment on it?
Nick Anson: Yes, no, I mean, the bottom line is that despite the situation where we're certainly holding our own in a difficult marketplace. So, very pleased with the performance of both our paramount and even our Eagle 20's brand, despite the minimum price legislation, but as Howard said, I mean the. We will continue to fight in the courts. But the process is taking some time.
Karru Martinson: Thank you very much guys. Appreciate it.
Operator: We'll take our next question from Gaurav Jain with Barclays.
Gaurav Jain: Hi, good morning. Thanks a lot, sir for taking my questions. [indiscernible] volume of performance in this quarter was very strong and your EBIT is down, so clearly one can argue that the [indiscernible] back from incremental volumes right now negative. So, whenever you decide to take pricing on Montego, will it lead to like a step change in that EBIT number and that might be one year down the line or two years down the line, so, how should we think about your EBIT progression from here?
Howard Lorber: Well, thanks for the question, Gaurav. I mean, as we've talked about before, we don't give guidance and not going to go into details here, but certainly we are investing in Montego at the moment the marketplace at the moment has provided a tremendous opportunity with KT&G's, exit and just the macro-economics with the down trading to the value. So, we are constantly evaluating the market and when opportunities present themselves, we've to take advantage of those opportunities. So, as I mentioned in my earlier remarks, the decision to migrate to an income growth strategy will depend on many factors. And if you go back and look at our previous investments in Pyramid and Eagle 20's and even before that and Liggett Select and Grand Prix, the marketplace is different and the factors were different for that decision to change. So again, we will analyze the marketplace, and when the decision we feel is right to move to that income growth strategy to ensure long-term profit growth will make that decision.
Gaurav Jain: Okay. And then coming to your capital returns for last three so clearly you will be in a much stronger position now with all the market share gains if -- and if I were to just look out over the next two, three years and your leverage will be coming and quite comfortably below three x, the net leverage. So, would do you think of is stepping up capital returns, especially around share repurchase, given your stock trades at low multiples of our mix?
Howard Lorber: Well, surely we will always be looking at that, it's an ongoing way to operate the business, we're looking to do the best we can for our shareholders. And it's hard to say at this particular point. We do have some good net cash flow. We've to dividends now substantial number and we're hoping that that will grow. So, my guess is, at some point in the future, if it continues and if Montego goes, the way we think it will go. I think that will give us an opportunity to allocate capital and actually there is only one or two ways, really increase the dividend or buyback stock, so though it does of the options, and those are the things we'll be looking at in the future.
Gaurav Jain: Sure. And how would that like -- would you also think of some acquisitions here and one of the companies that operates in the U.S. is now in talks regarding a potential M&A and there could be divestitures or not. And then there are smaller companies as well. So, if there were any opportunities and the tobacco space that were to present themselves, will you take advantage of them?
Howard Lorber: Ron, you want to -- you want to handle that Ron?
Ron Bernstein: Yes. So, the issue is if you look at the smaller companies in the U.S., we are in a dominant position relative to them because of our share, because of our nationwide sales force and frankly, it never has made sense to this point, to pay a premium for their volume, which is a price based volume, where it's much more efficient for us to build it ourselves and that's what we've done in the course of the last 20 some odd years, building up from 1.5% market share to a 5.2% market share. Having said that, we always have our eyes open and we're always evaluating opportunities and if we see something that makes sense. We certainly consider it, but at this point, the -- it's specific specifically relative to the low end of the market. It just hasn't made sense to make an acquisition in that in that sphere.
Gaurav Jain: Both, thanks a lot.
Operator: We'll take our next question from Oren Shaked with BTIG.
Oren Shaked: Yes, hi, good morning gentlemen. I just wanted to get a framework as we think about the balance of the year, would you expect that the year-over-year margin profile should be consistent with what we saw in the first quarter? Or would that evolve somewhat over the remaining few quarters, if you could just give us a framework for how to think about that, that'd be great. Thank you.
Howard Lorber: Well, again, I'll reiterate the point that we're not going to go into that detail as we don't give guidance again we, we're certainly looking to take advantage of this opportunity and investing in on Montego to maximize volume and market share. And again, we're constantly analyzing the marketplace and when the time is right to move to an income growth mode, will make that decision when the time presents itself.
Ron Bernstein: Yes, over the course of a long period of time, Liggett is become very good at being able to analyze the market and make adjustments. When the company is oriented towards volume and share growth, the underlying premise of that is to build profit. So, the framework that the company operates under is consistently looking for those weak spots in the market where we can start to pick up volume and then build the profit base after of that, and as Nick indicated, we've seen substantial benefits from that over the course of an extended period of time.
Oren Shaked: Understood. Thank you very much.
Operator: [Operator Instructions] We'll take our next question from David Levine with MidOcean.
David Levine: Hey guys, thanks for taking my questions. First question just around gross margin clearly weaker on a year-over-year basis, it sounds like a lot of that is from investment in Montego. Is there any way you can kind of break down the gross margin just percentage decline like maybe not get into two specifics, but is a lot of that from a higher MSA expense is a lot of that from Montego. Is there any way you could kind of break that down, just on the gross margin year-over-year?
Howard Lorber: Yes. So very simply, the vast majority is related to the increase in the Montego volume, I mean we are still continuing to take pricing and monetize our Eagle 20's and Pyramid brand. So those gross margins are up. So the overall margin decline is almost solely related to the increasing volumes and our market share increase related to Montego.
David Levine: Okay, that's helpful. And then just on the capital allocation. I'll ask it a different way. As I'm sure you follow your secured bonds trade at around 8.5% yield to maturity, if a -- the free cash flow, I think that the dividend yield on free cash flow is around 10%. Would you ever think about clearly a low kind of loan to value? Would you ever think about potentially buying those back, obviously they traded at an attractive yields, particularly with respect to the dividend yield, I think just so would love to hear your thoughts on that?
Bryant Kirkland: Hey, good morning, it's Brian Kirkland as far as we like where our leverage ratios are currently obviously we're always opportunistic in the capital markets and we will evaluate them over time and make any actions we deemed possible.
David Levine: Appreciate it. Thanks a lot.
Operator: We'll take our next question from Patrick Fitzgerald with Baird.
Patrick Fitzgerald: Hi, thanks for taking the questions. Is there any way you could kind of talk about the share you gained from competitor leaving the space versus the share you're gaining because of the inflationary environment people trading down, just in terms of breaking those two out, if it's possible at all?
Howard Lorber: Well, Patrick, I appreciate the question. I'm going to go into too much detail there. But with respect to KT&G's exit from the marketplace. Again, they were about 2.8% share, about 6 billion units a year. We are very pleased with the way that we've executed a retail and based on the most recent data here, we're anticipating that we probably obtained over 40% of the volume that they've left on the table in the marketplace that we are very pleased with the way that we're executing and based on the capabilities our sales force and those advantages. We're really able to capitalize on it. And I say we've retained about 40% of the value that they've left on the table. So, very happy with our performance in that respect.
Patrick Fitzgerald: Okay. And those volumes have -- have those been cleaned up at this point -- it's kind of more of a [indiscernible] -- 
Howard Lorber: Yes. And pretty much the inventory that KT&G had at wholesalers and retailers, I mean those are pretty much in sell-through at this point in time. So, those -- their volumes, their brands are pretty much out of the marketplace at this point in time.
Patrick Fitzgerald: Okay, thanks a lot.
Operator: Ladies and gentlemen, those are all the questions that we have for today, thank you for joining us on Vector Group's First Quarter 2022 earnings conference call. This will conclude our call. On behalf of all of us at Vector Group and Liggett, we hope that everyone remains healthy and well. Thank you all for your participation. You may now disconnect.